Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the Gates Industrial Corporation Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Rich Kwas, Vice President of Investor Relations. Rich, the floor is yours.
Richard Kwas: Greetings, and thank you for joining us on our third quarter 2025 earnings call. I'll briefly cover our non-GAAP and forward-looking language before passing the call over to our CEO, Ivo Jurek, who will be followed by Brooks Mallard, our CFO. Before the market opened today, we published our third quarter 2025 results. A copy of the release is available on our website at investors.gates.com. Our call this morning is being webcast and is accompanied by a slide presentation. On this call, we will refer to certain non-GAAP financial measures that we believe are useful in evaluating our performance. Reconciliations of historical non-GAAP financial measures are included in our earnings release and the slide presentation, each of which is available in the Investor Relations section of our website. Please refer now to Slide 2 of the presentation, which provides a reminder that our remarks will include forward-looking statements within the meaning of Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed in or implied by such forward-looking statements. These risks include, among others, matters that we've described in our most recent annual report on Form 10-K and in other filings we make with the SEC, including our Q2 quarterly report on Form 10-Q that was filed in July of 2025. We disclaim any obligation to update these forward-looking statements. This quarter, we will be attending the Baird Global Industrial Conference, the UBS Global Industrials and Transportation Conference and the Goldman Sachs Industrials and Materials Conference and look forward to meeting many of you. Before we start, please note all comparisons are against the prior year period unless stated otherwise. And now I'll turn the call over to Ivo.
Ivo Jurek: Thank you, Rich. Good morning, everyone, and thank you for joining our call today. Let's begin on Slide 3 of the presentation. Gates posted solid third quarter results with positive core revenue growth of almost 2% on the macro industrial demand conditions that remain subdued. Our replacement channel grew low single digits, supported by mid-single-digit growth in automotive replacement. Our OEM sales were relatively flat. At the end market level, industrial was mixed. Globally, Off-Highway realized positive growth with stabilizing demand in construction, offsetting incremental weakness in North American and European agriculture. Commercial On-Highway declined mid-single digits, impacted by decreasing production rates in North America. Personal Mobility generated another strong quarter of growth, exceeding 20% year-on-year. Our adjusted EBITDA margin increased nicely year-over-year to 22.9%. We generated record adjusted EBITDA dollars and margin for a third quarter. Our net leverage ratio declined to 2.0x, a 0.4x reduction compared to last year's third quarter. With that, we are on pace to reduce our net leverage to under 2x by year-end. We have updated our 2025 guidance, raising our adjusted EPS midpoint to $1.50 per share. We have maintained our full year 2025 adjusted EBITDA midpoint of $780 million, while slightly lowering our core sales growth outlook at the midpoint. Brooks will provide more color and comments about our updated guidance assumptions later in the presentation. Additionally, our Board recently approved a new $300 million share repurchase authorization that will expire at the end of 2026. The new authorization replaces the prior authorization, which had over $100 million remaining. On Slide 4, we have heard from a number of you on the call that you would like to see an update on what is occurring in the end markets. So we have laid out an updated view of our underlying end markets and how they have progressed during 2025. Coming into the year, we did not anticipate a broad macro recovery, but we have continued to see uneven end market performance since we set our initial expectations for the year in February. We did, however, enter the year with some expectations that the PMIs could begin to recover in the second half of 2025. That has not emerged to date. Industrial Off-Highway demand trends have continued to languish and softened a bit relative to our expectation during the third quarter in certain geographies on reduced build rates and dealer inventory destock. Additionally, in the On-Highway end market, the North American commercial truck production levels deteriorated as the third quarter evolved. Despite some of these near-term headwinds, we are still outperforming our underlying markets and believe that many of our challenged end markets are troughing or are close to troughing. Our Automotive Replacement and Personal Mobility business continues to grow nicely, while our data center opportunity set continues to expand. As such, we are optimistic that demand in the majority of our end markets will be more stable to improving at some point in 2026. Please turn to Slide 5. Third quarter total sales were $856 million, which translated to core growth of 1.7%. Total revenues grew 3% and benefited from favorable foreign currency. As I have highlighted earlier, the end market performance was mixed in the quarter. Personal Mobility continued to trend nicely higher with its year-over-year growth rate accelerating compared to the second quarter. Off-Highway grew mid-single digits with growth in construction and agriculture globally. However, ag declined incrementally in both North America and Europe. Diversified Industrial and Energy were both down slightly and On-Highway demand was soft. Automotive grew low single digits with solid growth in auto replacement more than offset a slight decline in auto OEM. Our key growth verticals, Personal Mobility and Auto Replacement contributed to the performance. Our revenues from data center also continues to increase, although from a small base. And we see the liquid cooling opportunity in early stages of more broad-based adoption. Adjusted EBITDA was $196 million with adjusted EBITDA margin coming in at 22.9%, an increase of 90 basis points and represented a record third quarter margin rate for the company. Our adjusted earnings per share was $0.39, an increase of approximately 18% year-over-year. Operating performance contributed $0.02, while a lower tax rate and consolidated mix of other items each contributed $0.02. We believe we are effectively managing the enterprise across all aspects. On Slide 6, we will review our segment highlights. In the Power Transmission segment, we generated revenues of $533 million in the quarter and core growth of 2.3%. Most industrial end markets realized growth. Personal Mobility continues to be a strong contributor with growth exceeding 20% in the quarter. At a channel level, replacement grew with automotive and industrial channel core growth each growing low single digits. OEM sales also grew low single digits with industrial sales growth more than offsetting a decrease in automotive. We continue to invest in our strategic sales initiatives and innovation to help drive potential outgrowth in the future. Our mobility opportunity pipeline is staying robust. In the Fluid Power segment, our sales were $322 million, representing core growth of just under 1%. Many of our key end markets in Fluid Power continued to experience various levels of demand pressure, but our teams have held its own. Commercial On-Highway sales decreased mid-teens as industry inventories are elevated. Off-Highway grew with positive construction trends offsetting a low single-digit decline in ag. The agriculture performance year-over-year was worse, impacted by incremental OEM production cuts to better align our customers' inventory levels heading into the year-end. We believe the underlying ag market is troughing and should be better positioned for recovery sometimes in 2026. Replacement demand was strong, driven by double-digit growth in Automotive Replacement globally with broad-based growth across regions. Industrial OEM sales declined mid-single digits on a core basis, driven by soft demand trends in agriculture and commercial truck. Our data center opportunity pipeline exceeds $150 million and design-in activities remain robust. With respect to profitability, both segments expanded adjusted EBITDA margins at a similar rate. I will now pass the call over to Brooks for further comments on our results.
L. Mallard: Thank you, Ivo. I'll begin on Slide 7 and review our core sales performance by region. The majority of our geographic regions generated core growth in the quarter, highlighted by EMEA's return to growth. In North America, core sales were about flat. The incremental demand weakness experienced in Agriculture and Commercial On-Highway during the quarter was primarily concentrated within the North American region and led to a low double-digit decline in industrial OEM sales. Industrial Replacement sales were also down slightly. Industrial was offset by growth in automotive as Automotive Replacement sales increased high single digits, supported by year-over-year growth contribution from our new channel partner. Automotive OEM sales grew low single digits. In EMEA, core sales grew 2.6%. Industrial end markets were mixed. Construction returned to growth and more than offset weak demand in agriculture. On-Highway grew while energy and diversified industrial saw declines. Personal Mobility was very strong, growing almost 75%. At the channel level, OEM sales grew high single digits, supported by Construction, On-Highway and Mobility, partially offset by lower automotive OEM. Sales into replacement channels increased slightly. East Asia and India posted approximately 5% core growth. Most industrial end markets grew. Automotive OEM sales decreased slightly, which was more than offset by high teens growth in Automotive Replacement. China core sales expanded 6% year-over-year with growth across all channels and most end markets. South America core sales declined low to mid-single digits. On Slide 8, we show the key components of our year-over-year change in adjusted earnings per share. Operating performance contributed approximately $0.02 per share, driven by core growth and higher adjusted EBITDA margin. A lower tax rate contributed $0.02 per share. Other items, including lower interest expense, lower share count and other income together generated about $0.02 per share. Slide 9 provides a summary of our cash flow performance and balance sheet metrics. Our free cash flow was $73 million and represented 73% conversion to adjusted net income. Our restructuring cash outflows have increased, which impacted our free cash flow conversion. Our net leverage ratio declined to 2.0x at the end of the third quarter, which was an improvement on a year-over-year and sequential basis. During the quarter, we paid down $100 million of gross debt. We expect our net leverage to be under 2x at calendar year-end 2025. Our trailing 12-month return on invested capital was 21.6%, an improvement sequentially as improved operating performance helped offset the impact from internal investments in high-return projects. On Slide 10, we provide our updated 2025 guidance. We have trimmed our core revenue growth midpoint to 1% and narrowed the range from 0.5% to 1.5% to reflect current macro conditions for the balance of the year. In addition, we have maintained our $780 million adjusted EBITDA midpoint and narrowed the range to $770 million to $790 million. We have raised our adjusted earnings per share guidance to the range of $1.48 per share to $1.52 per share, the upper half of our previous range. The $1.50 per share midpoint reflects a $0.02 per share increase relative to our prior guidance. Our guidance for capital expenditures is unchanged. We have lowered our free cash flow conversion outlook to a range of 80% to 90% from 90% plus as a result of increased restructuring cash outlays as part of our footprint optimization and restructuring initiatives. Turning to Slide 11. We want to provide an update of our ongoing restructuring plans as well as the strategic system conversion that we have been working on and that we expect to be complete by the middle of 2026. Beginning late in Q4 2025 and finishing by the end of Q2 2026, we expect to close multiple factories, complete a labor realignment and go live with an ERP conversion for most of our European footprint. As we complete these activities, we will be focused on providing continuity and service for our customers and our affected team members. We expect to incur additional costs and other onetime operational impacts from these projects in the first half of 2026. From a financial perspective, we anticipate an unfavorable year-over-year impact of 100 to 200 basis points to our adjusted EBITDA margin in the first quarter and a more modest unfavorable effect in the second quarter, ranging from 25 basis points to 75 basis points year-over-year. In the second half of 2026, as we look towards completion of these various projects, we expect operations to normalize and realized favorable impact to our adjusted EBITDA margin from our restructuring activities of 75 to 125 basis points year-over-year. Excluding volume considerations, we expect our footprint optimization, restructuring and material cost-out activities to generate 0 to 25 bps overall adjusted EBITDA margin improvement year-over-year for the full year 2026. We anticipate being at a 23.5% adjusted EBITDA run rate in the second half of 2026 in a volume-neutral environment. As I said, we have not taken volume impacts into this analysis and plan to update those assumptions as well as provide further insight into our restructuring activities when we initiate our formal 2026 guidance in conjunction with our Q4 earnings call in February. I will now turn the call back over to Ivo.
Ivo Jurek: Thank you, Brooks. Moving to Slide 12. This is our illustrative update on our walk towards the midterm stated adjusted EBITDA margin target of 24.5%. In 2025, we have experienced a highly fluid business environment and continuation of prolonged negative PMI prints, resulting in constrained volume performance. With that as a backdrop, we now anticipate to complete our initial phase of the committed footprint optimization projects by mid-2026 and still expect that those projects will achieve 100 basis points of savings from the footprint optimization program exiting 2026. Coupled with our ongoing focus on material cost savings and 80/20, we estimate that our adjusted EBITDA margin will be nearing 24% on a run rate basis exiting next year. Most importantly, this does not assume any margin benefit from a potential broad volume recovery in our industrial end markets. While the end market volatility has not been supportive, we are very pleased with our execution and performance to date. We believe the prospects for incremental improvement over the midterm are positive, especially as the end market conditions begin to potentially inflect. With that, let me summarize our views on Slide 13. We believe we have executed well, delivering solid results given the lackluster demand environment we have encountered throughout this year. We generated record third quarter adjusted EBITDA margin rate and achieved our highest quarterly core growth rate since Q2 2023. For the year, we are on target to deliver adjusted EBITDA margin expansion and earnings growth in a muted demand backdrop. We continue to make progress with our Personal Mobility and data center strategic initiatives and believe we will encounter a better industrial demand landscape in 2026. We continue to adjust our structural cost base, and we expect our savings to begin to compound during the second half of '26 and anticipate our adjusted EBITDA margin rate to be approaching near 24% exiting next year. With that as a baseline level, we would expect any volume improvement to be additive to our margin performance. Lastly, we believe we now possess a strong balance sheet that can be utilized to support various potentially value-creating capital deployment options. Our Board recently approved a new $300 million share repurchase authorization. Separately, debt reduction continues to be an option. We just repaid $100 million of debt during the third quarter. And of course, at this juncture, our ability to execute bolt-on M&A transactions is increasing as we move towards our midterm financial leverage target. Before taking your questions, I want to thank the approximately 14,000 global Gates associates for their diligence and commitment supporting our customer needs. With that, I will now turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe: I just wanted to maybe clear up some questions around Slide 12. So it's very clear that the 24% for 2027 is -- should be viewed as more of a floor here, right? I mean if we continue to just bump along the bottom here, 24% is where you see margins and then volume gives us some upside. I just want to make sure that, that's the case. And then maybe just kind of dig into some of these kind of costs you're flagging for the first half of the year? And what sort of benefits you see from this ERP implementation?
Ivo Jurek: Yes. Thanks, Nigel. Let me take the first part of your question, and then I'll pass it off to Brooks on the ERP side and some of the other attributes of the cost question that you've had. But thinking about Slide 12, right? So that margin walk was created, if you think about it, more to provide you with an opportunity to model the impacts of the transitory costs to be incurred as a part of our restructuring program restart. And that program is intended to significantly improve our cost structure, all else equal, right? So not representative of growth forecast for our top line in '26. So to your point, this is kind of a foundational floor. We do expect growth in '26. The margin impact for the full year in our presentation deck, however, excludes any benefit from revenue growth. Frankly, because we are not providing you an updated guidance for '26 yet, as you know, we will do that at the conclusion of our Q4 fiscal year, we'll do that in January, right? So we -- look, we certainly believe that many of our end markets are at trough or close to troughing, as I said in my prepared remarks, and we believe that they will turn positive in '26. In addition, we are excited, and I said it on a number of these calls over the last couple of quarters, we are quite excited about the strategic revenue generation initiatives for next year, and we certainly expect them to contribute nicely to our growth trajectory in 2026. With that, Brooks, if you want to take the second part of the question, please?
L. Mallard: So there's several things that we expect from a onetime cost perspective. Relative to the restructuring and the headcount alignment as we do the restructuring, there'll be -- we expect some additional freight costs, expediting costs, redundant labor costs and productivity costs as we move through some of these relocations, and that's normal course of business. We do expect, to Ivo's point, I want to remind everyone, a lot of the backdrop for the reason we're doing a lot of these footprint optimization activities is to support our future growth. And so yes, we're going to get a cost benefit. But even moreover, we're going to have additional capacity, both from a machinery and equipment perspective, but more importantly, more capacity from a labor perspective to ramp through the cycle. From an ERP perspective, we're replacing a fairly antiquated system with a new system that's going to provide us much more capability in terms of warehouse management, in terms of managing the front end of the business to the back end of the business. But we really haven't built any of those benefits into our outlook. We've been very neutral on building those benefits in, but we definitely expect to improve our efficiencies and capabilities and again, support the strategic initiatives of the company with the ERP. But it does take -- we do think it will take us the first half of the year to get that all lined out, which is why we wanted to be transparent and provide you an update of the cost and the impact associated with those activities.
Nigel Coe: Yes, we definitely appreciate that. Just wanted to double-click on growth. You mentioned growth about 4x or 5x there. What kind of tailwinds or visibility do you have right now on some of the structural growth vectors like data center, Personal Mobility. I'm guessing you're going to have some price carryforward for next year. But more importantly, when you talk about the bottoming in some of these Off-Highway, On-Highway markets, how much visibility do you have on production schedules for your OEM partners? And do you have any visibility on maybe kind of a turn in production for those end markets?
Ivo Jurek: Yes, sure. So look, great question, Nigel. Thank you for asking that. Very, very optimistic, as you probably noticed over the last couple of earnings calls about some of the growth vectors such as Personal Mobility and liquid cooling and data centers. The Personal Mobility, I think on the last call, we suggested that we anticipate kind of over the next 3 years. And again, while that's not going to be every quarter, I want to kind of remind everybody that things are not always linear, right? But if you kind of take next 3 years, Personal Mobility, we anticipate Personal Mobility to grow kind of 30% year-on-year compound annually between kind of '25 and '28, right? And there will be time that it's going to grow 22% to 25%. There will be time that it's going to grow 35%. But on aggregate, we believe that, that's going to grow about 30% compound annually. And we have that confidence because of the design wins that we've been talking to you about over the last couple of years. The destock post-COVID has occurred. And obviously, we are delivering a real nice acceleration to the growth trajectory, and that will continue into the next couple of -- 2 to 3 years. So we are quite positive about that. We've talked about the accelerated adoption of liquid cooling. And while I'm not ready to give you a forward-looking revenue forecast for '26 today, and I'll do more of that on our next call, we are seeing tremendous amount of activities out there. And there are some real positive attributes because what we are realizing is there's more cooling that's required, not less in the projects that we are involved with. And we are seeing pretty substantial growth across the various customer base in the design-in activity. And that's a really good precursor into what will be occurring over the next 12, 24, 36 months. So think about it kind of in a similar vein as when we were discussing Personal Mobility. So we believe that over the next 1 to 2 quarters, we're going to be giving you some more tangible attributes associated with the dollars and cents about what that's going to represent in '26 and '27. But so far, quite optimistic about what we see there. Our Automotive Replacement market, while we don't necessarily talk about it as necessarily a growth torque, we have been growing that market quite substantially and quite nicely over the last couple of years, provided a great deal of stability for our revenue generation, and we believe that, that's going to continue as we move into '26, '27 and '28. There's still plenty of opportunity, plenty of firepower left to be able to continue to grow that market in that kind of 2% to 3% range, which is rather nice for kind of more mature type level of applications. So put that aside from kind of the incremental over and above, if you would, growth trajectory to kind of your standard base. Then when I take a look at some of our more traditional end markets, look, we certainly believe that the auto OE business, while it does not represent a significant size of our business, that's stabilizing, and we believe that we will start seeing more additive growth rates in North America and ultimately in 2026 in Europe. So we believe that those markets are stabilizing post Liberation Day announcements as these companies are starting to -- different countries are developing different agreements with our administration, and I think things are starting to stabilize there. I think people are becoming a little more optimistic about that end market. We see some positive, I would say, formation of green shoots in certainly in commercial construction end market, and we are starting to hear more positive news about what our customers expect there. Ag is still challenged, and I talked about ag actually got incrementally worse for us in Q3, while we have delivered maybe a positive core growth overall in ag, it got a little bit worse than what we've anticipated, but we do believe that, that's troughing. And that while it's not going to go off to the races in '26, it's going to be significantly less bad than it has been over the last 8 quarters. And so we are somewhat positive about that. And then ultimately, the diversified industrial market, we've talked about it being kind of more kind of bottoming out over the last couple of quarters, and we certainly believe that that's bottomed out and that should start being more accretive in 2026. So I don't want to give anybody an idea that we have come out and we have given a forecast that we will not anticipate to have an organic growth rate in 2026. We're actually quite optimistic about it, but we just wanted to give you a visibility on modeling of certain structural cost removals that are going to be going in and out over the first half of the year and resetting our cost structure, becoming more competitive and giving ourselves the opportunity to actually support the growth rate, which we are very optimistic about.
Operator: Your next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: I wanted to circle back on Slide 12 again. I know you've given this as a margin walk. But -- and I don't know if you provided this previously, but can you give us some dimensions of the restructuring? Like how many plants, where are they? What kind of headcount reduction, the dollar amount being invested and the dollar kind of payback cadence? I know you're providing it as a margin, but it would be helpful if you provide that dimension to it as well. Maybe you're restricted. I know if it's outside the U.S., you've got some works council, but maybe if you could start there, that would be helpful.
L. Mallard: Yes. So look, Deane, it's fairly complicated because it's a combination of -- if you remember when we said we were doing the restructuring, it was mostly around North America and EMEA, right? So we'll kind of leave it at that we're closing multiple factories, and there'll be hundreds of affected employees. I would say the payback generally ranges from 1 to 2 years, depending on the amount of severance, the amount of move, the amount of investment that we need to make. When we talk about the headwinds, just to kind of size it, we talked about the 100 to 200 bps and 25 to 75 bps that's kind of a $30 million to $35 million onetime expectation for the first half of 2026. And that also includes the system conversion and all the costs associated with that. And so from a -- I would say the other part, if you think about our increased capital spend over the past couple of years, that's part of the investment as well, right? And so if you look at what we spent over the past couple of years, you could say maybe $20 million last year, $20 million this year. So that's part of the investment as well. So when you calculate all that up, that kind of gives you that 1- to 2-year payback, again, depending on the timing of when the projects get implemented and when the savings come through. And as I said, we feel as we exit the second half of '26, that the first part of all that restructuring will be complete, and you'll see the flow-through in the second half. But let me also say that we're still working on additional projects. And there's still money that we're spending right now that's kind of part of that group that investment I talked about that we haven't put into our run rate yet that we haven't disclosed yet, right? Because we -- when you think about the back half of the year, there's probably $5 million per quarter, so $10 million in the back half of the year of savings, which will also roll over into the first half of '27. So that's kind of $20 million or half of the $40 million. So we're still working on the other half. And those projects will be implemented, and we'll disclose those here over the next year or so. Hopefully, that kind of gives you enough color in terms of how all those things are working.
Deane Dray: Yes, it really did. I appreciate that additional color. And then as a follow-up, I was hoping you could take us through kind of the tariff impact, pricing? And do you see any -- and it sounds like there could be some volume falloff because of some demand destruction, but just kind of where does tariff stand on a net basis?
L. Mallard: So let me take the cost piece, and I'll let Ivo talk about the volume piece. So from a cost basis, we're okay in terms of the total EBITDA impact. What I would say, though, as you look at some of the gross margin dilution in the back half of 2025, and that will fall through to EBITDA dilution. We're probably seeing 30 to 40 bps of dilution because we're not getting anything in terms of bottom line add from the tariffs, right? We're just kind of holding our own and making sure that we don't cost ourselves money. So the impact from a profitability perspective is kind of 30 to 40 bps, $0 from a total EBITDA dollars perspective. And then I'll pass it over to Ivo to talk about the volume piece.
Ivo Jurek: Yes, Deane, I think that that's -- I'm not sure whether I would call it volume destruction or what have you, but I think I would probably call it more of a short-term transitory growing pains. I believe that there's probably some impact to ag in particular. Certainly, the trade environment has gotten more challenging, particularly for farmers. And that's kind of what we have seen in terms of probably delayed recovery in ag overall. And as I said on the call, ag in Q3 got slightly worse than what we've anticipated at the beginning of Q3 around the edges, but we do believe that, that market will also start normalizing as we enter '26 and sometimes during '26, it should start getting a little less negative. So around that, I think that you're starting to see more stabilization around the auto businesses. Overall, I think you start seeing forecast maybe getting a little more positive in terms of production output by the carmakers. So I think that some of those transitory headwinds are probably abating. And as we enter '26, I think the environment should be more stable.
Operator: Your next question comes from the line of Julian Mitchell with Barclays.
Julian Mitchell: Maybe just the first question, trying to drill into perhaps a little bit the sort of exit rate from 2025. Just looking at the fourth quarter, for example, you mentioned Ivo was sort of firming of the industrial environment in the prepared material. But I think the revenue guide seems to embed sort of fairly normal seasonality for the fourth quarter. Just wondered if you could clarify that? And then similarly on kind of the EBITDA rate in the fourth quarter, often down sequentially. I think this time, it's sort of flat to up. Just wondered if there was anything to call out there in terms of enterprise initiative benefits or mix or something.
Ivo Jurek: Yes. So look, Julian, I think that you said it correctly. I mean we -- if you think about our Q4 revenue, it really is kind of taking exit rate Q3 environment, applying normalized seasonality. So there really isn't anything peculiar. I wouldn't say that we have baked in any further recoveries. We're obviously very cautious around ag but we're taking that present environment, and we say you're probably not going to really see any tangible change in Q4 and taking into account that many of these end markets, many of our customers have had somewhat challenging years. I don't see anybody trying to preposition themselves for 2026. And that, in a way, I would say, is positive that folks are not prepositioning themselves. I think that people are now focusing more on '26. And we are seeing -- or we are hearing certainly more kind of an optimistic outlook about '26 in certain segments of our business. So that being said on the on the demand. And I'll let Brooks chime in on the EBITDA for Q4.
L. Mallard: Yes. So from a Q4 perspective, we're still seeing some -- we're seeing some of our initiatives roll through around material costs. That's sort of -- that's offset by some of the tariff dilution and kind of normal seasonality in terms of Q4. We're pretty -- I think we're pretty happy with where our inventories are in terms of service and then building -- being ready for some of these activities in Q1. So we're not building significant inventories as we head into the end of the year. So all in, nothing -- some puts and takes, right, in terms of things working in our favor, other things that we're taking on and making sure that we're able to deliver EBITDA growth year-over-year, but nothing structurally different as we end the year.
Ivo Jurek: But Julian, we are also executing rather well, right? I mean we had 18% EPS growth in Q3, record level of margins in a reasonably muted end market environment. So I think that the organization is doing a good job in managing during some of these challenging times and frankly, delivering differentiated operating results.
Julian Mitchell: Great. And then just one quick follow-up on the sort of cash conversion. I think you walked down the guide a bit there. There's some higher cash restructuring. Should we expect much improvement in conversion next year? Or no, because of the EMEA and North America restructuring charges will sort of weigh on next year?
L. Mallard: Yes. We'll have to take a look at that. I mean I would think that the bigger part of what's affecting us in 2025 is the restructuring charges that get -- that are an add-back to adjusted EBITDA and adjusted net income, but flow through the free cash flow and then the higher CapEx as well. I would say that we're going to continue to spend CapEx, although I would imagine it starts to dial down just a tad in 2026. And we'll probably see some small headwinds related to the restructuring cash out versus how it shows up in adjusted net income, but probably not as much as we do this year. And again, we called out the headwinds. Those are going to show up in the numbers and show up in the cash. And so that won't really affect the overall cash conversion number because those will be in both places. So we'll update that, and we'll make sure that we call that out specifically when we update our guidance for 2026. But again, that's really just a kind of -- it's in one number. It's not in the other number. And so it's a little bit out of balance. We need to make sure we call that out in our cash conversion.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc Capital Markets.
Jeffrey Hammond: Appreciate all the color. So just to kind of put a bow on this noise around margins and the margin bridge because I think that the message is getting confused that next year is a transition year and maybe your long-term target is getting pushed out. It seems like to me, you had said to get to your margin target, you needed 100 to 150 basis points from volume, and that hasn't played out. And it seems like you've maybe outperformed on internal execution, material savings and the volume has been the whole, but maybe just level set me on that.
Ivo Jurek: I think, Jeff, you said it perfectly. We've actually -- we're actually delivering on our midterm targets without getting any help from the underlying macro. And we feel really good about that, right, because it's really tough to execute in such negative PMI environment. And so I think that there was the point of delineation where we wanted to ensure that we communicate to the market that the company is executing well. We certainly believe that the volume is going to inflect. We all certainly know that we -- none of us are very good at being able to call the inflections in the macroeconomics, taking into account that there are so many different moving pieces associated with trade policies and industrial policies and kind of the global behavior of these end markets itself. But I think all of us would anticipate that after 36 months of negative PMI, we would be on a verge at some point in time to see some inversion. And when that occurs, obviously, that's incremental to what we have described in our presentation.
Jeffrey Hammond: Okay. Great. And then just on capital allocation, I sense a little bit of a tone change where you've kind of been saying before, hey, we're just going to buy back our stock. The market doesn't appreciate what we're doing here and the multiple hasn't expanded relative to our peers. But now it seems like you're maybe talking a little more about bolt-ons. And so am I reading that right? Or do we lean in on a day where our stock is down 6% and the market is confused?
Ivo Jurek: Yes. Look, I mean, our stock is -- I think our stock is inexpensive. It's trading at a valuation that is not akin to the performance that the company is delivering. So we'll certainly lean into buybacks. The Board authorized $300 million of buybacks. So we'll certainly be utilizing what we can. But the company as well is generating tremendous amount of free cash flow. So I think that we can do all of the things that have been outlined as plausible outcomes for capital deployment. We've bought back -- I mean, we've paid down some more debt. We will be strategic about buying back our stock, but we also believe that as our balance sheet is trending towards below the 2x leverage that we have kind of put in a place as a demarcation point for us. And so hopefully, I won't have to be talking about leverage in the future. We believe that we can use all 3 levers for capital deployment, and we will be leaning more aggressively towards bolt-on M&A.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: You've been talking about accelerating footprint optimization and doing 80/20 since your Investor Day 1.5 years ago. But obviously, your growth since then has been somewhat slow. So I'm just trying to figure out if you're accelerating or enhancing any of your restructuring plans versus when you updated us at that Investor Day. And then maybe can you update us on how 80/20 is impacting Gates as you go into '26 and beyond? If you do organically grow, can you do core incrementals over 40%?
Ivo Jurek: Yes. Look, I think that we've -- I want to kind of be fully transparent, right? So as Liberation Day came forward in April, we kind of took a little pause to try to understand what will the new mercantile regime look like? And how do we think about our overall operating structure as a company. And obviously, we have been in region for region for a long time. So we just wanted to reassess and get a better sense of what is happening in the world. I think that as we got more comfortable with what we are seeing and how we are organized, we've come to a conclusion that our original plan was the right plan. As Brooks indicated, we need to be capable of having an access to labor that will give us an ability to flex up and down as these cycles occur. We believe that we are on the verge of an up cycle. So we've got to be positioned well to support the growth that we anticipate over the next upcoming up cycle. And so we are really just executing on our original plan, Andy. Nothing really has dramatically changed around what we have anticipated vis-a-vis our footprint optimization and restructuring. So we are -- I think we are in a very, very good shape, and it also validated that our plan was the right plan. We just needed to hit a pause for a couple of quarters. So that's kind of beyond us, and we are moving forward. As to 80/20, look, 80/20 material cost reductions and driving a better operational focus has been really the attributes that have given us the opportunity to outperform what we've anticipated during our Capital Markets Day in 2023 and still deliver on our midterm targets without the growth. So it's a very powerful tool. We again believe that we are very early innings. We take a look at somebody like ITW that has been doing it for over a decade plus, and they continue to deliver good margin expansion. We believe that we not only have the opportunity for a very certainly intermediate future to continue to support 80/20 as the key attributes of our enterprise initiatives to add to our profitability, but also grow our franchise through our strategic growth verticals. So we think that we can do both, and we think that 80/20 is going to be very additive to us. And if you exclude the benefits from restructuring, and again, I want to be very specific. If you exclude the benefits that we have described on Slide 12, we still believe that in a normalized growth environment that we anticipate kind of in '26 and beyond, we should be generating 30% to 35% incremental over and above the benefits that I described on that page.
Andrew Kaplowitz: Ivo, that's helpful. And then just in terms of growth by region, I think you explained what's going on in North America well. But you also mentioned EMEA returned to growth, which is interesting, and China continues to put up durable growth for you guys. So maybe you could sort of click on or give us a little more color about what you're seeing.
Ivo Jurek: Yes. Look, I mean, I think that North America has been probably most challenged from kind of agriculture end market exposure that got slightly worse. And remember, we -- it wasn't a ton of dollars that we -- that it got around the edges less supportive than what we've anticipated. So it's just around the edges, less supportive there. The other end markets, look, I mean, automotive overall grew nicely. Automotive Replacement grew really well for us in North America. Our Industrial Replacement market is growing. So the things are not -- they're not bad in any form of imagination. They're kind of around what we've anticipated with maybe slightly worse behavior in the ag environment. South America has been tough last quarter, but it's been predominantly tough after extraordinary several quarters or maybe 6 quarters of significant growth. So it's kind of a more normalization. And we again anticipate that South America is going to start moving into the growth phase as we kind of exit '26 -- I mean, '25 into '26. Yes, I mean, Europe has been a little bit surprising to us, right? I mean it's behaved a little bit better than what we've kind of envisaged with positive core growth. I would say that the auto markets are quite negative in Europe. I don't think I'm telling you anything that has not been already communicated, but our AR business is performing well. Our industrial first-fit, particularly around the commercial construction segment and mobility has been performing quite well. And IR has been stabilizing and starting to perk up a little bit in Q3. So maybe around the edges, more green shoots than less. And China has been okay. Automotive has been doing quite all right for us in China. Industrial Replacement has been doing quite all right for us. So China has been behaving more or less as we have seen over the last several quarters. And then East Asia and India is growing. I mean we are growing nicely. Our Automotive Replacement business in India. The industrial first-fit business is doing well. I mean I think that India is poised to continue to be on a trajectory of nice growth with the overall economy evolving nicely and becoming a real alternative to China over the midterm. So we are quite optimistic about what we can see out of India in particular. So overall, we're actually reasonably tending to be more optimistic than less. And we believe that '26 should be more positive than perhaps might have been taken out of our release today.
Operator: Your next question comes from the line of Tomo Sano with JPMorgan.
Tomohiko Sano: I'd like to ask about the data centers. And of the $322 million in Fluid Power revenue this quarter, how much was related to data center sales? And what is your expectations for 2025 data center revenue and the conversions of your $150 million plus pipeline in 2026, please?
Ivo Jurek: Yes. We are not going to be addressing exactly the revenue flows because it's still reasonably a small size of revenue that is growing rather nicely for us, but from a very, very small base. So I don't think it's worth to -- at this point in time to spend time yet on the sizing of this. It's in the millions, not in the tens of millions yet. Our design-in activities remains very, very robust. I mean, we see a significant number of new customers that are coming to us, and we are working with on new design-in opportunities. And we will be providing you with some additional color in January or early February on our Q4 earnings call. But we do continue to be quite optimistic that the data center growth as a vertical is going to ramp up rather nicely. And we still feel that, that $80 million to $200 million, $100 million to $200 million by 2028 is certainly -- doable for us as an intermediate target for us over the next 2 to 3 years. We also incidentally are going to be at the show Supercompute next, I think, 2 weeks from now in St. Louis. So we would invite anybody to still buy and have a conversation with us about some of the new products, innovation, and we can provide additional color on what we are working on from a technology perspective there as well.
Tomohiko Sano: And a follow-up on pricing perspective. Could you talk about how effective you have been in passing through cost inflation in Q3? And what is your pricing strategy for 2026, please?
L. Mallard: Yes. Well, look, I mean, we've -- going back, I mean, we've always been, I would say, as effective as anybody in terms of passing pricing through from an inflation perspective. We -- when the tariff -- all the new tariffs came out, for the most part, we're able to cover that with pricing. I mean there are certain regions that are a little bit more pricing challenged, particularly in Asia, where we're able to offset it more operationally than through pricing. We've always been very transparent in terms of we're going to cover material utility inflation on a yearly basis with pricing. And then the 80/20, when we implemented 80/20, we added a value pricing lever to our pricing kind of tactical approach. We make hundreds of thousands of SKUs, right? And so some of these SKUs, you want to be more competitive on. Some of them, you're the only ones that make it and you can price those based on the value you bring because you may be the only one that makes that particular part. And so we continue to use our 80/20 playbook to optimize pricing. And in the aggregate, we're always going to make sure that we use pricing to cover our material and utility inflation.
Operator: That concludes our question-and-answer session. I will now turn the conference back over to Rich for closing comments.
Richard Kwas: All right. Thanks, everyone, for joining. If you have any further questions, feel free to reach out. Otherwise, have a great rest of the week. Take care.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.